Joerg Hoffmann: Welcome to the Wacker Chemie AG Conference Call on our Second Quarter 2021 Results. Dr. Christian Hartel, our CEO; and Dr. Tobias Ohler, our CFO, will take you through our prepared slides in a minute. The presentation is available on our web page under the caption Investor Relations. Before we begin, please allow me to point you to our safe harbor statement, which you will find at the slide deck's beginning. Chris?
Christian Hartel: Thank you Joerg. Ladies and gentlemen, welcome to our call on the second quarter of 2021. We again reported strong sales growth ending the quarter with €1.5 billion and an EBITDA of €327 million. The strong momentum that began in Q3 last year has continued throughout the quarter. We saw volume gains in essentially all segments, compounded by a mainly price-driven significant improvement in polysilicon and an excellent performance in our chemicals business. We continue to make good progress on achieving our ambitious 2030 sustainability targets. Just recently, we won the VCI Responsible Care competition in Germany and Saxony for optimizing our integrated production system in Nünchritz. This improvement leads to annual CO2 savings of over 30,000 metric tons. On page 3, you see an overview of the key markets we are serving with our four businesses. Combining leading market shares in these attractive key markets with a high degree of specialization and customer focus is what differentiates Wacker. An important driver for all these businesses is the strong foundation in product and process innovation. And let me share some insights with you here. At silicones, it's all about specialties. Here we uniquely combine specialty product innovation in close cooperation with our customers. And another strength is our process innovation, which is mainly focused on the rather complex mid and upstream parts of our supply chain but also on efficient downstream operations. Product innovation at polymers addresses specific regional needs and provides sustainable product solutions, while process innovation enables us to support our fast-growing markets. At our recent Capital Markets Day on Biosolutions, we presented an ambitious growth target. Here we aspire to grow sales to €1 billion by 2030 with an attractive EBITDA margin of over 25%. Both product and process innovations strengthens our growth opportunities in the Biopharma and the Bioingredients segment. At polysilicon, we see growing demand for semi-grade polysilicon and rising specifications for high-end solar. Both product and process innovations primarily in cost reductions and productivity gains drive our performance. Now let me run today through two examples of our silicones and polymer businesses on the next slide. So you know that silicon serves a broad set of markets. Our largest key market in silicon is the construction market, reflecting around one-third of our sales in 2020. Here we offer a growing number of specialties and higher-end applications. And we demonstrate strong growth. Over the last five years, specialties volumes in construction grew at an average rate of about 9%. What I think is a great example of specialty growth driven by product innovation is the so-called GENIOSIL STP-E product class. These are unique hybrid compounds, bridging organic polymers with highly reactive silanes. And these silanes and modified polymers are highly versatile yet easy and safe to use, offering clear performance and environmental benefits and this is what we leverage. Through continued innovation, we expand the reach a number of applications for this innovation -- innovative product class. And this is true especially for the construction applications. And these advantages amount to our convincing unique sales proposition. Our alpha-silane technology is world leading and we also have a strong IP position on that. Demand for these products is strong and our hybrid products saw double-digit growth rates over the last five years substantially outgrowing the industry. And hybrids are low siloxane as the polymer backbone is not siloxane anymore, but it's replaced by an organic polymer. So that is exactly why we are in the process of building a dedicated facility that will be good for order already next year. This unit will have enough flexibility to meet the growing demand in the future. And it's just one great story of our silicones specialty strategy. Slide 5. Construction is the largest market in polymers. It's about 55% of our sales. It's about commercial and residential buildings. It's about renovation and it's about infrastructure. Average volume growth over the last five years in this segment was about 8% with the highest growth rates in tile adhesives and external thermal insulation composite systems. Let me talk a little bit about the latter one. Amplifying the underlying growth of the smart construction materials industry, our global climate initiatives such as the EU's Fit for 55 initiative. This initiative focuses on the energy performance of buildings and the climate proofing of the building stock. And as you all know it is rather ambitious. Buildings account for 40% of Europe's energy consumption and 36% of the carbon emissions. Currently only 1% of Europe's assist building stock is renovated each year. Renovation rate in the EU will have to double to meet the EU's energy efficiency and climate objectives through 2030. And, obviously, we expect a substantial demand growth in this area in the future. A key driver for our competitiveness in polymers is process innovation. We've just awarded the Alexander Wacker Innovation Award for a novel process for producing VAE. This innovation substantially increases the productivity of our units, enabling faster growth and reduces specific CapEx levels. We are deploying this new technology at our expanding Nanjing site in China, but we will also roll out these improvements across our global assets. In summary, we run world-scale, highly efficient and very competitive assets. Continuous innovation supports our market-leading positions in highly attractive growth markets. Beyond innovation what also differentiate Wacker is the capability and the commitment of our team. Our team demonstrates great operational flexibility in the face of many challenges. Take for example the Nanjing expansion, increasing the reactor and the dryer capacities there. Despite the pandemic and the travel restrictions, our German and Chinese colleagues work hand in hand and are doing an excellent job. In closing, I really would like to thank and recognize our global team for their efforts and dedication. It really makes me proud to be the CEO of such a great team. Given our position and capabilities, Wacker is in a unique position in the industry. We expect to see growth rates well above the chemical industry, as we leverage our strength. And now I would like to hand over to Tobias, who will take you through the Q2 financials and our outlook.
Tobias Ohler: Thank you, Chris. Welcome everybody. Q2 was a strong quarter and we are above pre-pandemic levels. This quarter highlights where the strong EBITDA our good margin and the very strong cash generation. On page 6 our P&L. Gross profit came in at €374 million more than twice as high as last year, and substantially better than in 2019. The main drivers were price and volume effects supported by strict cost control. Our Shape the Future restructuring program is on track. We benefit from indirect spend savings already substantially. And the first personnel cost savings are coming through. The P&L includes the Siltronic dividend in other investment income at the amount of €18 million. Net income was €179 million or €3.60 per share. Our balance sheet on page 7 shows cash and securities of €1.6 billion, as our cash generation continues strong. Following higher earnings and lower pension provisions our equity ratio improved to 31% or €600 million higher than at the year-end 2020. Demand for silicones on page 8, remains strong, with high volumes for specialties and a margin of over 20%. Sales came in at €650 million with an EBITDA of €134 million. We are operating at capacity limits. And our teams have done a great job in managing this demand surge. We are working hard to address the strong demand from our customers with higher CapEx and an acceleration of projects underway. We have increased our outlook for the full year to low double-digit sales growth and an EBITDA margin higher than last year. In polymers, on page 9, strong volume growth in power and VAE continues. Volume gains and pricing surcharges helped dampen the effects of unprecedented increases in raw materials. Sales came in at €404 million with an EBITDA of €52 million slightly better than expected. Prices for VAM remain extremely high. And we need to continue to share the burden with our customers to ensure the high level of supply requested from us. Looking into the full year, we now expect a low double-digit sales growth in polymers. Our growth was especially strong in tile adhesives and insulation materials. We expect EBITDA to come in below our target range of 15% to 18%, with surcharges only partially offsetting a substantial burden from raw material in the second half. On page 10, Biosolutions saw sales of €71 million with an EBITDA of €11 million. Higher volumes as well as mixed effect and better pricing improved the result. We see high demand for our services and solutions in BioPharma and BioIngredients our two focus areas. For the full year, our expectations for Biosolutions remain unchanged. Polysilicon on page 11 continues to see strong demand from semiconductors and high-end solar. As prices moved up substantially for solar products, sales increased to €353 million with an EBITDA of €149 million. Inventories are at very low levels, as demand keeps strong. We remain focused on our cost reduction efforts and are well on track to meet our targets. Polysilicon now looks to over 50% sales growth with an EBITDA margin of over 30%. We see a strong third quarter like Q2, but we still model Q4 with caution. Looking to page 12, with a quarterly net cash flow of €208 million, our net cash position was €150 million, at the end of the first half. Despite significant sales growth of 26% year-to-date, our working capital only saw minimal investments. Our net cash position is over €100 million higher than at the end of Q1, despite our dividend payout and increased CapEx. On page 13, there's a summary of our guidance. We confirm our sales and EBITDA guidance for the full year from mid-June. We see full year sales of about €5.5 Billion and an EBITDA, between €900 million and €1.1 billion. In addition, we now also update our guidance on net cash flow, which we see coming in at prior year levels. Also, we updated our ROCE guidance, and now expect it clearly above our cost of capital of 10%. With this, back to Chris.
Christian Hartel: Thank you, Tobias. So ladies and gentlemen, before we begin with the Q&A session, please take a closer look at the picture on the slide. It shows two of our growth areas. Here it's one of our employees in the Biosolutions division working on plasmid DNA. And the tubing you can see in the picture was produced with a specialty elastomer also from our Wacker silicones division. So Joerg, handing over to you.
Joerg Hoffmann: Thank you, Chris. Operator, we are ready to begin with the Q&A now.
Question:
and:
Operator: Thank you. [Operator Instructions] The first question is from Chetan Udeshi of JPMorgan. Your line is now open.
Chetan Udeshi: Yeah. Hi. Thanks. A couple of questions, firstly, it seems the visibility that you guys have today is relatively high as regards to third quarter. I know you guys haven't provided any guidance. But can you maybe give us some more color on, how you see Q3, both from top line and earnings perspective for each of your key divisions, whether you want to talk sequentially or year-on-year basis, I guess, year-on-year is going to be up. But any commentary on a sequential basis that would be useful? And the second question was more on Biosolutions. Now, with the news flow around your rack, et cetera. Can you maybe remind us of the key milestones that we should be watching for or should be expecting, in terms of the progress in scaling up this business to the targets that you guys provided a couple of months back, in terms of the revenue? Thank you.
Tobias Ohler: Chetan, Tobias here, and I hand over the second question to Chris later. So on the Q3 momentum, your question, I definitely can confirm that we had a good start in Q3. So sales in July were strong, as they were in June. And I would observe it or describe it now more as a really broad-based momentum continuing. It's less the recovery from the pandemic anymore. So we see strong momentum across all divisions. So from today's perspective, I mean, I think, it's hard to assess a summertime slowdown which we have seen in other years, but, overall, a very good start into the third quarter. I mean I know that we have provided some outlook also at the height of the pandemic, when there was a major uncertainty in the market. But at this point, we really would focus on the full year guidance and not just on the next quarter.
Christian Hartel: Okay. So, Chetan, thanks for your question that was on the CureVac situation. I mean, obviously, I cannot comment on the situation for CureVac and their approvals on the market. You have to ask these guys yourself. What I can tell you is, I mean, we have a contract with CureVac, which we also reported in a joint press release earlier this year. We stick to the commitments in that contract, but I cannot disclose any individual commercial details on that contract. What I can say is, it follows standard template for the CDMO business, which we are in, and we stick to our commitments and prepare for the commercial launch. What I would also like to add is, really -- I mean, this is one customer and its one contract. But I think the mRNA technology is really leapfrogging into the future. And, I mean, you probably read also just recently, companies working on vaccines for flu, working on malaria medicine and also the great field of cancer drugs, where I think mRNA will play a great role in the years to come. So we believe in that technology. We believe in our value proposition as a CDMO, providing also mRNA technology. So we are expanding also currently our capacities here in Amsterdam for both mRNA, but also our classical protein business.
Chetan Udeshi: That's useful. And if I just follow up there. So, I think, leaving CureVac aside, like, what would you think we should be expecting in terms of, like, progression towards that €1 billion sales. So is it more a two-year, three-year journey before we see a step-up in this business, or do you think it could even happen ahead of two to three years, in terms of going from where we are today, in terms of sales, to say 200 maybe next two years, or how should we think about that progression to €1 billion?
Christian Hartel: Well, I mean, what we said in the call on the Capital Markets Day is that, €1 billion, we want to reach by 2030. And, obviously, it will not be kind of a linear path. I'm pretty sure that it won't be, but I can't give you now exact milestone. I mean, yes, we have been evaluating and we are evaluating currently also M&A options. We are evaluating options for getting new contracts with customers and they will come in step by step, but it's kind of pretty hard to predict when that will materialize. But we remain very optimistic about the opportunities we see in that area.
Chetan Udeshi: Thank you.
Operator: The next question is from Jaideep Pandya of On Field Research. Your line is now open.
Jaideep Pandya: Thank you. The first question is really around silicon metal. Can you just explain to us how -- what is your competitive position? How backward integrated are you in silicon metal? And sort of, do you see this really a key sort of point of differentiation between Chinese versus non-Chinese players, given the fact that silicon metals has been sort of on an upward trajectory in China in recent times. The second question is really around semi-grade body. Obviously, the sister company Siltronic which will leave Wacker soon to GlobalWafers, announced a big greenfield expansion recently. Could you just explain to us what are your growth plans volume-wise with regards to semi grade material? That's my second question. And then just the third question really is, sort of, around polysilicon. Sorry, to ask or bring this up now. But when we think about sort of the end type market, can you just put this in context? How big is the entire market today? And what are the growth plans? And then just -- sorry, it's sort of tagged to this. When you think about the value chain in poly, looking at the political issues, it seems like wafer guys in China are trying to sort of get hold of non-Chinese, non-Shinzen polysilicon. Is that the case? Yes or no? And if so, what has been the incoming for you in recent months? Thanks a lot.
Tobias Ohler: Jaideep, Tobias here. I'll start with the silicon metal, your first question. We have seen silicon metal trending up, but we see that as a temporary phenomenon, I would say. But overall, our approach to silicon metal is that, we have a decent portion in backward integration. We have roughly a-third of our demand in Norway, which is a low CO2 highly cost-effective plant, where we just had the investment a couple of years ago. And the rest we have a broad setup for supplies across the globe, mostly in Europe, but also South America and other Asia. So we work on that market as a buyer and we have a broad set also of different contract types. And we are ready also to invest further in backward integration, if we see the need, because our infrastructure allows for additional capacity there.
Christian Hartel: Okay. Jaideep, then I will answer your second question on the Siltronic and wafer demand. And yesterday, just recently published announced an expansion of their 300-millimeter capacity in Singapore. I would say this is very much in line with what you can hear from the market for demand growth for the wafers. I think, Gartner just published for the next three years a growth rate of 37% overall almost 40%. So there is a strong demand for wafers as there is a strong demand obviously for microelectronics. And part of your question was so what are the growth plans for us. Of course, we want to keep and we want to grow our market share in semi poly. Almost every second computer chip today is already made with Wacker polysilicon. And of course, we want to grow with that. And we also believe that going forward the requirements based on the quality, the rather increase and we see ourselves pretty good positioned in that. And that might lead to some kind of some investments also for enabling to follow that growth. Polysilicon you asked for solar the n-type market share. So what we see today that is about 10% of the market. There are some forecasts which I found on -- from ITRPV they say, that it might be 25% in the year 2025. So -- but this is also in line what we hear from our customers strong demand in growing n-type. And yes. And fourth question Jaideep that was on polysilicon from China, if I understood correctly. And is there a stronger demand for material outside of China. Yes, also we see that in the market. I mean that customers also ask for material outside of China. And of course, that would be an interesting opportunity for us to follow-up.
Jaideep Pandya: Thanks a lot.
Operator: The next question is from Andreas Heine of Stifel. Your line is now open.
Andreas Heine: Yes. Thanks. Three questions, if I may. The first is your comment on polymer. And if I look as everyone probably does that. And every week's prices and we are already mid-August and you always have a delay until prices hit your own P&L so that would mean that Q3 prices are almost set for you and they are significantly higher than Q2. So whether do I am wrong in assuming that Q3 earnings in poly will not be significantly higher than Q1? And that's the first one. Second, referring on what you just said on silicon metal and your good CO2 for in Norway now made the case that they are very happy to be backward integrated for sustainability reasons. Would that be a reason for you also to think about your sustainability targets and in that regard are kind of forced to have your own backward integration? And the last question is also on n-type and referring to what you just have said. I not really understand, why the move from p-type to n-type is so much slower than it was from multi to mono. Is there a reason why it takes so long that penetration rate goes up? Thanks.
Tobias Ohler: So Andreas, yes, we are already in Q3. And I can confirm, I mean, as everyone following the market everyone can see that the demand is very strong today and prices are still at a very high level. But you also know from the past that we experienced quite some volatility. And that's why we still model the fourth quarter with caution and do not want to give now -- I think the overall volatility in the market is out not give a specific guidance on the third quarter, but I definitely can confirm that we had a very good start into it. And silicon metal, I'm not sure whether Chris talked about it, but backward integration is an option and also for saving CO2. We have it under our own control. We have, yes, a CO2-free source in electricity and we can work on our process to also make it to CO2 neutral using Charcoal. And yes, I think, Norway with all the hydro power is an ideal place for that.
Christian Hartel: Absolutely. I wouldn't really agree on your statement that we're being forced into that because I think we see an opportunity in it and we have a good cost position also in Norway. So I would see more as an opportunity and not really being forced into that but that's maybe more semantics. Your third question based on transformation from p to n-type, why is it so low compared to multi to p-type. Well, I mean, obviously the best answer could give somebody who is producing the material. We are just the supplier of the raw material. But what we hear and see is that obviously the process is more technologically demanding and therefore the shift just takes longer because it also -- it takes know-how and it takes more CapEx. So that might be from our view the reason for that slower -- perceived lower turnaround. 
Andreas Heine: Thanks.
Operator: The next question is from Markus Mayer of Baader Helvea. Your line is now open.
Markus Mayer: Good afternoon, gentlemen. I have two questions, if I may. First one again, on the guidance. I understand that you modeled the fourth quarter with caution. But if I follow your guidance for the segment then I basically have no idea how I could come to the low end part of the guidance. So maybe you can shed some light what must happen that you meet only the low end part of the EBITDA guidance? That would be my first question. And the second question is basically again on polysilicon and also the outlook may be above 2021. Do you see that customers are already trying to get more long-term contracts with you so that basically your demand in particular for the US market is moving away from the spot market even further? That would have been my two questions. Thank you.
Tobias Ohler: So Markus, on the guidance question. You know us that we typically also have experienced some seasonality in the chemicals businesses. And I already mentioned that we have experienced volatility in policy and our modeling approach. But overall, I would say we have raised guidance in mid-June. And to answer your question slightly differently if you take the first half just times 2 you come to the upper end of the range. And with momentum continuing we could see us also ending up at the upper end of our guidance range. So this is clearly possible. So... 
Markus Mayer: Okay. Thank you.
Christian Hartel: And Markus on your -- on the second question regarding long-term contracts for polysilicon. As Tobias pointed out I mean we do see strong demand for currently really for our polysilicon products for the solar industry and we also see more interest in customers coming to us and asking or negotiating for long-term contracts. 
Markus Mayer: Okay. Thank you. 
Operator: The next question is from Thomas Swoboda of Societe Generale. Your line is now open. 
Thomas Swoboda: Yes, good afternoon gentlemen. And thank you for giving me the opportunity to ask question. Yes. I have to two. I will take them one by one if I may. Back to silicon metal. And I'm being cautious formulating this question on purpose. But given the discussion between the US and China on imports from Xinyang you have been linked to one of the suppliers of silicon metal from China. I understand it's a small quantity. My question would be how quickly can you eliminate those volumes in case this is correct with what I have been reading? 
Tobias Ohler: Thomas the answer goes in a similar way as I talked about silicon metal just before. I mean we have a 1/3 of our demand in backward integration. That's pillar number one. And then we have super broad supplier portfolio and mostly focused on Europe South America and other Asia. So we do not talk about details and individual suppliers but we have a very solid setup there. 
Thomas Swoboda: So basically, you're saying you should not be feeling any impact from the sanction on this supplier? 
Tobias Ohler: It's -- market prices are higher. So I'm a little bit cautious now in my answer. Temporarily they are higher and we have had also looking back to history we have seen silicon metal price moving up and down. So if market prices move up even with our broad contract portfolio we would also have that headwind potentially. But I think it's too early in the year to talk about 2022. 
Thomas Swoboda: Right. I mean my question goes to a supplier who is on the sanction list and you have been linked to the supplier. So the question is really can you eliminate this supplier from your suppliers is fast enough? 
Tobias Ohler: Thomas same answer. We have a very broad supplier portfolio. 
Thomas Swoboda: Okay. Okay. Fair enough. The second question Tennessee your silicones unit was down in Q2. Could you help us assessing the impact if possible? And when do you expect the facility coming back online again, please? 
Tobias Ohler: Thomas, we have -- you're right we have one facility in silicones in U.S. we're just currently down. But if you look at added from a broader perspective on the divisional level that has no meaningful impact on results. 
Thomas Swoboda: Right. If I can risk a third question on electricity costs in Europe, do you have already any view on where the costs are going for you next year? And are you exposed to any of the directly exposed to any of the coal-fired power plants that are going online -- offline I'm sorry soon? 
Tobias Ohler: We are not buying directly from individual power plants or coal fired power plants. Going out of the market wouldn't have an impact on us directly, but indirectly on market prices. We have seen in the first half of this year quite some increase in prices traded at the large electricity exchange. And as our approach to locking in electricity prices is a rolling approach, I think we see less of an impact from this in this year but we potentially see an impact in next year. So there might be some headwind or there seems to be coming headwind I would say from electricity costs in 2022. 
Thomas Swoboda: Could you give any indication of where this is going? 
Tobias Ohler: Not yet sorry. 
Thomas Swoboda: Okay. Fair enough. Thank you so much.
Operator: The next question is from Sebastian Satz of Barclays. Your line is now open. 
Sebastian Satz: Hi, thank you very much. I have one question on silicones into your earlier comment that your plants are fully loaded at the moment. I just want to understand how that will impact your ability to grow volumes both in the second half of the year but also maybe thinking two to three years out please? 
Christian Hartel: Yes. I mean I can answer that Sebastian. And it goes a little bit to what Tobias already said. I mean we have a network of production plants all over the world. And we are constantly expanding the capacities and making debottlenecking measures which are obviously not always published because they're not a big thing to do. But on the other hand, it helps us to increase capacity step by step and that will help us to get more material out to our customers also in the second half of the year. 
Sebastian Satz: So you would be able to grow in line with the market in the next couple of years? 
Christian Hartel: Yes definitely. I mean that's -- I mean definitely the cornerstone of our strategy going forward absolutely. And there a lot of projects going on already and you will hear about more projects announced in the future. 
Sebastian Satz: Thank you.
Operator: The next question is from Rikin Patel of Exane BNP Paribas. Your line is now open.
Rikin Patel: Hi, thanks for taking the question. Just two for me. Firstly, on polymers. You mentioned in the pre-release and today as well that you've been able to put through surcharges during Q2 and that's opened the possibility of putting more through during Q3. With some of the raw materials there sort of leveling off or starting to trend down, how do you think about maybe keeping some of that margin structurally in 2022 assuming underlying demand stays pretty strong? And then secondly just another one on polysilicon. You mentioned obviously the conservatism on Q4, but that Q3 has started pretty well. Just curious if you could give us an idea about how your plants in the US and Germany are operating. If you could give us an indication of the utilization rate that would be helpful. Thanks.
Tobias Ohler: So Rick on the polymer question and the surcharges, what happened to the raw materials in polymers was really unprecedented and that's why we started with that approach of, yes, putting surcharges to our existing contracts for any volume taken by the customer. And we had three rounds of structured charges effective and we will continue at those, yes, to recover a fair share and of the cost increase and have a sort of a burden shared between our customers and us from this raw material price hike. We have seen leveling of the raw materials and we expect some moderation, but we are flexible in our own pricing and we will continue with the surcharges as long as necessary. And then eventually we will also move into a new contract season. But overall, I mean, we have always a portfolio of different contracts. So we have more annual contracts and we have shorter-term contracts. And from the effect of the raw material uncertainty, I think, we will definitely have a particular focus on pricing tactics, but this would continue into the second half of this year
Christian Hartel: Okay. And the second question on polysilicon, if I understood correctly you were asking on the capacity utilization going forward for the second half of the year. And I mean as Tobias reported already, I mean, we are running low on the inventories for polysilicon as the demand is high, and so we keep our capacities running at full speed. And we work on cost road maps as well to improve cost position. And often these effects go in with also maybe additional capacity coming up with more volumes getting out of the plants.
Rikin Patel : Okay. Thanks.
Operator: The next question is a follow-up of Jaideep Pandya of On Field Research. Your line is now open.
Jaideep Pandya: Thank you so much. Just really around sort of polysilicon. I know you're not going to like this question, but when you think about sort of the supply guidance that is coming through at least from what I can track, especially even on the equipment furnace guys that provide furnaces to your competitors in Asia, it seems like tangible polysilicon capacity only enters the market in sort of Q1, Q2 next year. And really if we had 700 kg, 725 kg of polysilicon, it seems like the market could have absorbed it this year. So, I mean, I appreciate that you have a special crystal ball, which is pointing to negative EBITDA in Q4, but why should polysilicon prices go down in your opinion? When I say -- I'm not talking about into perpetuity. I'm just saying for the next sort of three quarters what is in your scenario that brings polysilicon prices down is really what I'm trying to ask?
Tobias Ohler: I think, I’ll try that, I like that question and our answer is pretty straightforward. We model with caution. But I think your broader question was about the supply additions. And you have a view on it. I mean, the market will require additional supply. We are not we are differentiating between supply also coming from established players and some newcomers. And you mentioned something about the furnaces, I think, I didn't get it fully. But everybody knows that we will see also time delays in implementation of the capacity increases. So, the overall market is -- the demand is really strong. If you take everything together what is required to get to the CO2 savings. I mean there is a huge demand for additional PV capacity. And the market is preparing for that. Our customers are ahead in that respect, the wafer manufacturers, especially the NTA and polysilicon also needs to add capacity.
Christian Hartel: And maybe to add to the comment from Tobias. I mean the capacity announcements, which you can read and which sounds huge. And as you said, I mean we have to find out whether they materialize in their time frame, they really are published. But you also have to keep in mind that some of these capacity announcements are also replacement of old capacities with lower quality material coming out of that. And so that also has to be taken into the equation. It's a strongly growing market. We need solar to solve the problems, the energy problems of the world. So that trend is definitely intact and needs more capacity.
Jaideep Pandya: And just -- sorry to ask this. This is the second question I have, and I promise this is the last one. If -- even if I take away the Siltronic cash, you probably will end the year with more than $0.5 billion of cash. Now, I know Joerg wants a massive salary increase but what are you going to do with all this money?
Tobias Ohler: Capital allocation is clear. We want to accelerate our growth, as we just mentioned organic and inorganic growth. We have a clear dividend policy. And last but not least, we mentioned that we have an issue with the pension deficit and we're working on a pension reform, and I wouldn't exclude that we also allocate to this. But we -- your equation was pretty good. We see a strong year end 2021 from a net cash perspective.
Jaideep Pandya: Great, thanks a lot.
Operator: The next question is from Sean McLoughlin of HSBC. Your line is now open.
Sean McLoughlin: Thank you. Good afternoon. Just a couple of follow-up questions on polysilicon, if I may. Firstly around long-term contracts. Can you confirm you've actually finalized and signed long-term agreements or you're still in negotiation phase? And also, given I suppose, the lessons learned from the previous cycle of long-term supply contracts 10 or so years ago, how are contracts being structured? That's my first question. And secondly, I think more broadly given the capacity that's coming online, how confident are you of keeping let's say, your nose ahead of competition, especially in n-type?
Christian Hartel: Okay. I can -- Sean, I can take that question. I mean I'll start with the last question, how do we keep the nose ahead. That's what we actually do our teams every day. They work on improvements every day, getting more material out of the existing plants and improving the quality and the cost position. So that's really an ongoing process and having dedicated teams that work on this for years and some of them almost for decades, I think it's also something which differentiates us from many of our competitors. And it might see from a day-to-day perspective only little incremental improvements, but they all end up at the end of the year. And so I'm confident that our cost roadmap and cost and quality roadmap will be improving also in the years to come. So that keeps our nose ahead. And what you asked for the long-term contracts, whether they are in finalization or in negotiation, I mean it's also -- I would say semantics, I mean we don't want to prolong these negotiations. But at the end of the day, it needs to be a good deal for us and of course, for the customers. And I cannot disclose any details on individual contracts.
Sean McLoughlin: Very good. Thank you.
Operator: [Operator Instructions]
Joerg Hoffmann: Well everybody, thank you very much for joining us today and for your interest in Wacker Chemie. Please contact the IR department if you have further questions. This ends the call today.